Operator: Hello, and thank you for standing by. My name is Mark, and I will be your conference operator today. At this time, I would like to welcome everyone to the Allurion Third Quarter Earnings Call. [Operator Instructions] Thank you. Now I would like to turn the call over to Tara Brady. Please go ahead.
Tara Brady: Good morning, and thank you for joining us. Earlier today, Allurion Technologies, Inc. issued a press release announcing financial results for the quarter ended September 30, 2025, and provided a business update. You can access a copy of the announcement on the company's website at investors.allurion.com. With me on the call today is Shantanu Gaur, Founder and Chief Executive Officer. Before we begin, I would like to inform you that comments mentioned on today's call contain forward-looking statements within the meaning of federal securities laws. Actual results may differ materially from those expressed or implied as a result of certain risks and uncertainties. These risks and uncertainties are described in detail in our Securities and Exchange Commission filings, including our annual report on our Form 10-K filed on March 27, 2025, as amended by amendment #1, thereto filed on August 19, 2025. Our SEC filings can be found through our company website at investors.allurion.com or the SEC's website. Investors are cautioned not to place undue reliance on such forward-looking statements, and Allurion undertakes no obligation to publicly state or release any revisions on these forward-looking statements. In addition to the company's GAAP results, management will also provide supplementary results on a non-GAAP basis. Please refer to the press release issued today and the accompanying supplementary financial data tables for a detailed reconciliation of GAAP and non-GAAP results, which can be accessed from the Investor Relations section of the company's website. Please note that this conference call is being recorded and will be available for audio replay on our website under the Events and Presentations section on our Investor Relations page shortly after the conclusion of this call. And with that, I will turn it over to Shantanu.
Shantanu Gaur: Good morning. And as always, thank you for joining us today. Before discussing our third quarter results, I would like to begin by sharing what we believe are several exciting updates regarding the FDA approval process for the Allurion Smart Capsule. As you may recall, in June, we submitted the fourth and final module of our PMA submission to the FDA. Since June, we have passed several critical milestones on our way to a potential FDA approval. In July, FDA completed its acceptance and filing reviews, and we entered the substantive review phase. In August, we successfully passed our pre-approval inspection with 0 findings. The preapproval inspection is designed to assess the company's systems, methods and procedures to ensure that the quality management system is effectively established. The inspection covered compliance with regulatory requirements, process quality and documentation standards. There were no observations raised and no Form 483 issued. In October, the company underwent a Bioresearch Monitoring or BIMO inspection. The BIMO inspection is designed to assess the company's clinical trial systems, methods and procedures to ensure data integrity. Again, there were no observations raised and no Form 483 was issued. In October, we held our Day-100 meeting with FDA, and we were quite pleased with the outcome. After reviewing our PMA submission, FDA did not request any additional human clinical data. We believe this is a very positive sign that we are entering the final stages of the review process. We believe passing these inspections with no observations and completing the Day-100 meeting in this manner are major milestones for Allurion on our path toward FDA approval, are testaments to our commitment to upholding the highest quality standards and are indicative of our readiness to serve the U.S. market. In light of these developments, we have begun to advance our own launch preparations internally and intend to share further updates on upcoming calls. Shifting now to the third quarter. Revenue was $2.7 million, reflecting the restructuring we conducted in the third quarter to refocus our efforts on accounts and distributors who promote metabolically healthy weight loss as part of a comprehensive obesity management strategy that includes combination use of the Allurion program with low-dose GLP-1s. We were pleased with our performance in the third quarter despite the restructuring that we conducted in August and the seasonality we often observed due to the summer months. In my recent conversations with our customers, it is becoming clear that GLP-1 discontinuation can be a rich source of new patients for Allurion. Some customers have indicated that half of their Allurion patients have previously tried a GLP-1, validating our hypothesis that by focusing on accounts that offer multiple modalities of care, we can have access to a steady supply of patients. Even among clinics that offer exceptional follow-up to their patients who are taking GLP-1s, over half of these patients churn after 1 year. As a result, we continue to believe that the pivot we executed last quarter will lead to long-term growth and refinement of the strategy that we could utilize out of the gate in the U.S. market, especially if GLP-1 prices continue to drop in the future. Operating expenses were $10.9 million, a decrease in expense of 29% compared to the prior year. Operating loss was $9.6 million and narrowed by 22% compared to prior year. Adjusted operating expenses were $8.4 million, a decrease in expense of 42% compared to the prior year. Adjusted net operating loss was $6.9 million and narrowed by 39% compared to the prior year. These improvements reflect the improved efficiencies we have been able to gain from the restructurings we have conducted over the past year. We expect our new strategy to continue to bear fruit in the fourth quarter as we onboard new distributors who meet our criteria, and we have been encouraged by the results we have already seen in quarter so far. As we announced previously, we also plan to restructure our balance sheet and are on a path to being debt-free. We have entered into a transaction to exchange all outstanding debt for convertible preferred equity and concurrently announced a private placement financing that strengthens our financial position. As we pursue FDA approval and plan a U.S. launch of the Allurion Smart Capsule, we wanted to have a clear path to being debt-free, and this transaction provides that path. The private placement further strengthens our balance sheet, helping to position us to achieve future catalysts and we were very pleased to have participation from key existing stockholders and our strategic partner who has deep expertise in obesity. With this stronger balance sheet, I believe Allurion is better positioned to increase value for shareholders in the short and long term. I would like to now turn to the other 2 aspects of our strategy that we discussed on our last call, namely retooling our R&D pipeline and manufacturing capabilities in collaboration with our strategic partner and bolstering our clinical pipeline with additional data on combination therapy. We are pleased to report that we are exploring the development of a drug-eluting balloon in collaboration with our strategic partner. While this is a long-term project, the potential could be massive. First, eluting GLP-1 medications in a controlled release manner could be a game changer for obesity therapy. Delivering GLP-1s through an intragastric balloon directly addresses the adherence challenges of GLP-1 use, which we believe will become even more apparent with once-daily pills, while directly combining 2 independent mechanisms of action into a single therapy. Such an innovation could be the ideal therapy for the nearly 50% of patients who stopped using GLP-1s before achieving any clinical benefit. Second, and perhaps more importantly, the drug-eluting balloon could become a platform to deliver a wide array of medications, supplements and microbiome enhancers that are important for gut health and the treatment of chronic gastrointestinal diseases. We believe this project also dovetails nicely with our intention to create a longer-lasting device that remains in the stomach beyond 4 months. We have also now begun process validation of a new R&D and manufacturing line in collaboration with our strategic partner. This line has the potential to expand our current capacity, reduce cost and accelerate the implementation of design changes in the future. Regarding our clinical pipeline, we have completed submissions of the combination therapy protocol to the Institutional Review Boards or IRBs for approval, fielded questions from the IRBs and made the necessary changes to the protocol. We believe that the protocol we are testing in this study where patients will receive the Allurion Smart Capsule, start on 0.25 milligrams of semaglutide at the end of balloon therapy and scale up, if needed, to 1.0 milligrams of semaglutide over the subsequent 8 months directly addresses the issues related to high doses of GLP-1s and provides a compelling future clinical pathway for the U.S. market. I will now turn the call over to Tara Brady, our Interim Chief Financial Officer. Tara?
Tara Brady: Thank you, Shantanu. Our revenue for the third quarter of 2025 was $2.7 million compared to $5.4 million for the same period in 2024. The year-over-year decrease in revenue was primarily due to the restructuring that took place in the third quarter. Gross profit for the third quarter was $1.3 million or 49% of revenue compared to $3.1 million or 58% of revenue for the same period in 2024 and included $0.1 million in restructuring costs. Gross profit for the third quarter was negatively impacted by the reduction in revenue in the period and lower production volumes, which resulted in less manufacturing labor and overhead being absorbed into inventory costs. Sales and marketing expenses for the third quarter were $3.1 million compared to $5.2 million for the same period in 2024 and included $1.1 million in restructuring costs. The reduction in expense was primarily driven by increased operating efficiency in the restructuring initiatives implemented previously. Research and development expenses for the third quarter were $2.0 million compared to $3.2 million for the same period in 2024 and included $0.5 million in restructuring costs. The reduction was primarily driven by reduced costs related to the AUDACITY trial and restructuring initiatives implemented previously. General and administrative expenses for the third quarter were $5.8 million and included $0.9 million in restructuring costs compared to $7.0 million for the same period in 2024. Adjusted general and administrative expenses for the third quarter of 2025 were $4.9 million compared to $6.1 million for the third quarter of 2024. The reduction year-over-year was primarily driven by previous restructuring initiatives. Loss from operations for the third quarter was $9.6 million compared to $12.3 million for the same period in 2024. Adjusted loss from operations for the third quarter of 2025 was $6.9 million, excluding onetime restructuring costs of $2.7 million. Adjusted loss from operations for the third quarter of 2024 was $11.4 million, excluding onetime financing costs of $0.9 million. The reduction was driven by restructuring initiatives implemented previously. As of September 30, 2025, cash and cash equivalents were $6.1 million, not including the private placement financing of $5 million. I will now turn the call back over to Shantanu.
Shantanu Gaur: Thanks, Tara. We believe the Allurion program is the only solution for obesity management that has consistently demonstrated significant and immediate weight loss while maintaining or increasing muscle mass. In combination with low-dose GLP-1s, we believe the clinical benefit increases even more with higher levels of adherence to GLP-1s, and we are confident that by pivoting to this approach, we will capitalize on the success of GLP-1s and set Allurion up for long-term success. We are thrilled with the progress we have made in a short period of time with the FDA and remain bullish on the overall U.S. market opportunity. As we onboard new partners outside the U.S., we believe we can unlock synergies with GLP-1s. In my own travels and conversations with physicians on the front lines of obesity care, even those with outstanding wraparound support have rates of discontinuation of GLP-1s above 50%. We believe this population of patients represents a substantial opportunity Allurion. And finally, as we explore next-generation R&D and manufacturing initiatives with our new strategic partner, we have begun to view the Allurion Smart Capsule as more of a platform technology that could deliver drugs of all kinds, not just GLP-1s to address adherence issues that are inherent to pharmacotherapy. We believe that with this approach, we could build a new standard of care in not only obesity management but also across several other disease areas, and we are looking forward to proving this out in the future. With that, operator, please open up the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Joshua Jennings with TD Cowen.
Joshua Jennings: Shantanu, congrats on the progress with the FDA process and just thinking about that progress. I wanted to start with just how you're taking the learnings from the international strategy to focus on accounts that offer comprehensive obesity care and how that's informing potential U.S. commercial strategy? And any update just on how Allurion plans to attack the U.S. market once approval is in hand.
Shantanu Gaur: Thanks for the question, Josh. Certainly, we're learning a lot from what we are doing internationally, especially after we made this most recent pivot in our strategy. What we're seeing in our direct accounts is that as accounts embrace and utilize GLP-1s more and more, they are creating new patients as those GLP-1 patients discontinue and then look for alternative therapies. I was in Ireland a few weeks ago discussing this concept with one of the best GLP-1 clinics in the entire country of Ireland. And even with exceptional care, with multidisciplinary support across nutrition, physical activity, exercise, even psychological support, this particular clinic still had a churn rate over 50% at 1 year. So half of their patients were churning off of GLP-1s, regaining weight and then coming back, looking for another therapy. And we're seeing this across the board in all of the international markets that we operate in. So that's one learning that we're going to apply in the U.S. market, and we've already begun to map out which clinics in the United States fit the bill in terms of utilizing the GLP-1s and also being equipped to potentially deploy the Allurion Smart Capsule. In our international markets as well, we're seeing the same uptake in distributor markets where the distributors have access to accounts that are providing comprehensive obesity care. And we intend over the next couple of months to strike some new partnerships with distributors in certain regions that clearly have embraced GLP-1s in combination therapy and are seeing in their own businesses, how those patients filter through the funnel and get other therapies down the line.
Joshua Jennings: And just thinking about the international push and the strategic pivot, the solid third quarter revenue results, can you help us just think about the progression from here just as we're thinking about modeling 4Q in 2026, just how international revenues could shape up over the next 12 to 24 months?
Shantanu Gaur: Yes. Great question. What we're seeing right now in the fourth quarter is continued growth in the direct markets where we are seeing an embrace of combination therapy and GLP-1s. Similarly, in our distributor markets, where we have either launched a new distribution partner or refocused our existing distributors on our new strategy, we're seeing some nice momentum there as well. So I would expect in the fourth quarter sequentially to grow compared to Q3. And then moving into 2026, I do expect that sequentially we should be able to continue to grow the top line revenue for the business as more and more of these clinics start to embrace GLP-1s in combination therapy. The other thing that we're starting to see is that as new GLP-1 agents come to market or as prices drop, we see that there's more utilization of GLP-1s. And ironically, there is actually more discontinuation because many of these new agents or less expensive agents are being delivered without the appropriate care. So I actually expect that this trend that we are seeing now in 2025 should continue into 2026. And coming back to your point on the U.S. market as well, Josh, with some of the new initiatives from the Trump administration that are resulting in a reduction in price in GLP-1s in the U.S. that should drive more uptake in the U.S., which in turn should drive a higher churn rate and even more patients who are looking for alternative therapies after they stop their GLP-1 and regain the weight. So these are some of the tailwinds that I see now finally behind our backs as we head into 2026.
Joshua Jennings: Appreciate that. And just lastly, you're talking about Allurion Smart Capsule and potentially transforming to a platform technology with drug delivery. Any other details to share just in terms of time lines of the development program? And then any other elements of the pipeline that you want to highlight in terms of development projects for the platform?
Shantanu Gaur: Thank you. When we think about the Smart Capsule as more of a platform, there's actually a whole universe of molecules and even gut microbiome enhancers that could be alluded off of our balloon in a controlled release manner. And what we're finding, especially as GLP-1s proliferate and some of these other pharmaceuticals that are delivered through DTC services where the follow-up is pretty limited, adherence has become the #1 issue for pharmaceuticals. And with a capsule like ours that turns into a balloon that last inside the stomach for 4 months, we can solve that adherence issue for patients over a 4-month period. We're also reinitiating the work that we had started a year ago or so on a longer-term balloon that's intended to last in the stomach well beyond 4 months. And the vision there potentially as a platform could be you swallow -- a patient swallows a Smart Capsule of ours, it remains in the stomach for, say, 12 months. And over that 12-month period, drug therapeutic or gut microbiome enhancer is alluded over time. And in that scenario, you could imagine a patient being able to swallow a capsule once a year and really not have to worry about taking their medications or managing their obesity since they have an intragastric balloon inside their stomachs. So that is a longer-term project, and we are really thrilled to be initiating it right now. But when you combine that drug elution approach with a longer-term intragastric balloon, the opportunities actually become sort of endless in terms of how many different therapeutics or small molecules we could potentially elute in patients with various different chronic diseases.
Operator: [Operator Instructions] There is no further questions at this time. And I will now turn the call back over to Shantanu Gaur for closing remarks. Shantanu?
Shantanu Gaur: Thank you, operator. As we close our call today, I'd just like to extend my thanks to everyone who joined us today, particularly all of my fellow Allurions who are building this next generation of Allurion. And of course, our loyal shareholders. The collective belief that all of you have in our mission and commitment to our company has really been unwavering. And I believe through that commitment, we have set ourselves up for long-term success. We really look forward to updating all of you on our progress in the next quarter, and thank you all. Have a great day.
Operator: That concludes today's call. You may now disconnect.